Operator: Good afternoon, and welcome to Gold.com's Conference Call for the Fiscal Second Quarter ended December 31, 2025. My name is Paul, and I will be your operator this afternoon. Before this call, Gold.com issued its results for the fiscal second quarter 2026 in a press release, which is available in the Investor Relations section of the company's website at www.gold.com. You can find the link to the Investor Relations section at the top of the homepage. Joining us for today's call are Gold.com's CEO, Greg Roberts; President, Thor Gjerdrum; and CFO, Cary Dickson. Following their remarks, we will open the call for your questions. Then before we conclude the call, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of Gold.com's website. Now I would like to turn the call over to Gold.com's CEO, Mr. Greg Roberts. Sir, please proceed.
Gregory Roberts: Thank you, Paul, and good afternoon to everyone. Thank you again for joining us today for our first earnings call as Gold.com. This is a truly historic moment for our company and I'm excited to officially address you under our new corporate identity following the successful completion of our rebrand to Gold.com as well as the New York Stock Exchange relisting in December. This transition represents far more than a name change. It encapsulates our corporate identity as the most trusted and globally-recognized precious metals platform and our commitment to delivering value for our customers, partners and, of course, our shareholders. It also represents our evolution as a category leader with a diversified portfolio spending -- spanning precious metals, numismatics, wine and other high-value collectibles as well as alternative assets, and this is all supported by a vertically integrated operating model and a growing global footprint. I'm excited to share that we have entered into an agreement with an affiliate of Tether Investments, whereby Tether will be purchasing approximately $125 million of Gold.com's common shares at an issue price of $44.50. And they have agreed to purchase approximately $25 million more of our shares at the same price following regulatory clearance. We and Tether are extremely excited to enter into certain other mutually-beneficial commercial commitments. I'll touch on the details of the transactions before turning to the quarter. Tether is one of the largest owners of gold globally and sponsors the largest dollar-backed stablecoin, USDT, and the largest gold-backed stable coin, XAUT, in the world. As part of the transaction, Tether is entitled to nominate a member to the Board of Directors of Gold.com. It is expected that Tether will provide Gold.com with a gold leasing facility of no less than $100 million. The companies are also expected to enter into agreements for Gold.com to provide storage and utilize logistics and for Gold.com to offer Tether stablecoins through its DTC channels. Gold.com has agreed to invest $20 million of the proceeds raised from this investment in Tether's XAUT stablecoin. Tether's minority investment in Gold.com validates our strategy to be the vertically integrated leader in physical bullion and to offer the industry's most comprehensive precious metals platform. This investment builds upon our 60-plus year legacy and expands our reach beyond traditional bullion into cryptocurrency. The proceeds from this transaction will provide us with increased funding and flexibility to strengthen our balance sheet by further developing our portfolio of category-leading brands. We look forward to Tether's continued support and partnering with their team to potentially develop additional innovative, mutually-beneficial commercial opportunities. Now turning to the quarter. Our second quarter results demonstrate our ability to successfully navigate rapidly evolving market conditions. During the quarter, we experienced an increase in consumer demand across our platforms. Premium spreads remained tight through the end of 2025 and backwardation in the silver market contributed to trading losses and higher interest expense due to increases in product financing and precious metals lease rates. Despite these headwinds, we delivered $11.6 million in net income and earnings of $0.46 per diluted share, demonstrating the resilience of our business model and our disciplined approach to managing market volatility. As announced last week, we also closed the acquisition of Monex Deposit Company. Monex's large and loyal customer base, along with its well-established storage and services platforms, strengthens our offerings and expands our ability to serve customers across the full precious metals value chain. We are making meaningful progress in optimizing our expense structure as well as unlocking synergies from all of our recent acquisitions. Integration efforts continue to advance with our AMGL facility in Las Vegas, operating at increased capacity and delivering the operational leverage we anticipated. Internationally, we are seeing encouraging signs of growth and remain committed to expanding our international presence. At the end of the second quarter, we increased our equity interest in U.K.-based Atkinsons Bullion & Coins with an additional 24.5% investment, bringing our total ownership to 49.5%. Since our initial investment in 2023, we have been very impressed by the Atkinsons team and the business' sustained success across Europe. Moving on, performance at LPM in Hong Kong and our new location in Singapore also remains incredibly strong with both retail showroom activity and wholesale trading volumes showing positive momentum. Asia continues to represent an attractive long-term growth opportunity for Gold.com, and we remain focused on expanding our footprint across that region. Looking ahead to fiscal third quarter, consumer demand remains elevated, and we have experienced an expansion of premium spreads. The problem with backwardation in Q2 has eased, and we're starting to see the markets move back towards contango, which is a positive for our trading business. We continue to benefit from our strong balance sheet and the ability to adjust weekly production levels across our minting operations to manage our inventory levels and to keep up with demand. I will now turn the call over to our CFO, Cary Dickson, who will provide an overview of our financial performance. Then our President, Thor Gjerdrum, will discuss key operating metrics. I will then provide further insights into the business and growth strategies followed by taking your questions. Cary, jump in.
Cary Dickson: Thank you, Greg, and I hope everyone is having a great afternoon. Our revenues for fiscal Q2 '26 increased 136% to $6.5 billion from $2.7 billion in Q2 of last year. Excluding an increase of $2.5 billion of forward sales, our revenues increased $1.2 billion or 69% which was due to higher average selling prices of gold and silver as well as an increase in gold ounces sold, partially offset by a decrease in silver ounces sold. For the 6-month period, our revenues increased 86% to $10.1 billion from $5.4 billion in the same year-ago period. Excluding an increase of $3 billion of forward sales our revenues increased $1.6 billion or 50.3%, which is due to higher average selling prices of gold and silver as well as increase in gold ounces sold, partially offset by a decrease in silver ounces sold. Revenues also increased in both the 3-month and the 6-month periods due to acquisitions of SGI, Pinehurst and AMS in the last 2 quarters of fiscal '25. Gross profit for fiscal Q2 '26 increased 109% to $93 million or 1.44% of revenue from $44.8 million or 1.63% of revenue in Q2 of last year. The increase was due to an increase in gross profit driven by both the Wholesale Sales & Ancillary segment and the Direct-to-Consumer segment, including the acquisitions of SGI, Pinehurst and AMS, which were not included in the same year-ago period, partially offset by lower trading profits. For the 6-month period, gross profit increased 88% to $166.3 million or 1.64% of revenue from $88.2 million or 1.62% of revenue in the same year-ago period. The increase was due to an increase in gross profit earned by both the Wholesale Sales & Ancillary segment and the Direct-to-Consumer segment, including the acquisitions of SGI, Pinehurst and AMS, which were not included in the same year-ago period, partially offset by lower trading profits. SG&A expenses for fiscal Q2 '26 increased 132% to $59.8 million from $25.8 million in Q2 of last year. The change is primarily due to an increase in compensation expense, including performance-based accruals of $21 million, higher advertising costs of $5 million, an increase in consulting and professional fees of $2.7 million, an increase in facility expense of $1.3 million. SG&A expenses for the 3 months ended December 31, '25 included $30 million worth of expenses that were incurred related to SGI, Pinehurst and AMS. So they accounted for the bulk of the increase, which were not included in the same year-ago period as they were not consolidated subsidiaries. For the 6-month period, SG&A expenses increased 128% to $120 million from $52.4 million in the same year-ago period. The change was primarily due to an increase in compensation expense, including performance-based accruals of $41 million, higher advertising cost of $10 million, an increase in consulting and professional fees of $6.7 million and an increase in facilities expense of $2.6 million. SG&A expenses for the 6 months ended December 31, '25 included $60 million of expenses incurred by SGI, Pinehurst and AMS, which were not included in the same year-ago period. Depreciation and amortization expense for fiscal Q2 '26 increased by 65% to $7.6 million from $4.6 million in the same year-ago quarter. The change is primarily due to a $3.2 million increase in amortization expense related to intangible assets acquired through our acquisitions of SGI, Pinehurst and AMS and $1.6 million increase in depreciation expense, partially offset by a $1.8 million decrease in intangible asset amortization from JMB and Silver Gold Bull. For the 6-month period, depreciation and amortization expense increased 63% to $15.2 million from $9.4 million in the same year-ago period. The change is primarily due to a $6.4 million increase in amortization expense related to intangible assets acquired through our acquisitions of SGI, Pinehurst and AMS. And a $3.1 million increase in depreciation expense, partially offset by a $3.7 million decrease in intangible asset amortization from JMB and SGB. Interest income for fiscal Q2 '26 decreased by 15% to $5.8 million from $6.8 million in the same year-ago period. The decrease was due to a decrease in other finance product income of $1.1 million, partially offset by an increase in interest income earned by our Secured Lending segment of $0.1 million. For the 6-month period, interest income decreased 18% to $11.4 million from $13.9 million in the same year-ago period. The decrease was due to a decrease in other financing product income of $2.2 million and a decrease in interest income earned by our Secured Lending segment of $0.3 million. Interest expense for fiscal Q2 '26 increased 57% to $16.3 million from $10.4 million in Q2 of last year. The increase is primarily due to an increase of $3.7 million related to product financing arrangements, an increase of $1.9 million related to precious metal leases, an increase of $0.1 million associated with our trading credit facility. For the 6-month period, the interest expense increased 42% to $28.9 million from $20.4 million in the same year-ago period. The increase is primarily due to an increase of $4.2 million related to product financing arrangements, an increase of $3.2 million related to precious metal leases, an increase of $0.7 million associated with our trading credit facility. Earnings from equity method investments in Q2 '26 increased 142% to earnings of $1.0 million from a loss of $2.4 million in the same year-ago period. For the 6-month period, earnings from equity method investments increased 106% to earnings of $0.1 million from a loss of $1.8 million in the same year ago period. The increase in both periods were due to increased earnings of our equity method investees. Net income attributable to the company for the second quarter of fiscal '26 totaled $11.6 million or $0.46 per diluted share compared to net income of $6.6 million or 27% diluted share (sic) [ $0.27 per diluted share ] in the same year-ago quarter. For the 6-month period, the net income attributable to the company totaled $10.7 million or $0.42 per diluted share compared to net income of $15.5 million or 65% (sic) [ $0.65 ] per diluted share in the same year-ago period. Adjusted net income before provision for income taxes, a non-GAAP financial measure, which excludes depreciation, amortization, acquisition costs and contingent consideration fair value adjustments for Q2 totaled $23.2 million, an increase of $9.9 million or 74% compared to $13.4 million in the same year-ago quarter. Adjusted net income before provision for income taxes for the 6-month period totaled $28.1 million, which is consistent with the same year-ago period. EBITDA, a non-GAAP liquidity measure, for Q2 fiscal '26 totaled $33.9 million, an increase of $17.7 million or 109% compared to the $16.2 million in the same year-ago quarter. EBITDA for the 6-month period totaled $48.2 million, an increase of $14.2 million or 42% compared to the $34 million in the same year-ago period. Turning to our balance sheet. At quarter end, we had $152 million worth of cash compared to $78 million at the end of fiscal '25. Our nonrestricted inventories totaled over $1 billion, $1.031 billion as of December 31, '25, compared to $795 million as of the end of fiscal '25. Gold.com's Board of Directors has declared a quarterly cash dividend of $0.20 per share, maintaining the company's current dividend program. The dividend is payable on March 4, 2026, to stockholders of records as of February 20, 2026. That completes my financial summary. Now I will turn the call over to Thor, who will provide an update on our key operating metrics. Thor?
Thor Gjerdrum: Thank you, Cary. Looking at our key operating metrics for the second quarter of fiscal 2026. We sold 545,000 ounces of gold in Q2 fiscal '26, which was up 17% from Q2 of last year and up 24% from the prior quarter. For the 6-month period, we sold 984,000 ounces of gold, which was up 14% from the same year-ago period. We sold 18.6 million ounces of silver in Q2 fiscal 2026, which was down 15% from Q2 of last year and up 79% from last quarter. For the 6-month period, we sold 29 million ounces of silver, which was down 31% from the same year-ago period. The number of new customers in the DTC segment, which is defined as the number of customers that have registered or set up a new account or made a purchase for the first time during the period, was 96,100 in Q2 fiscal 2026, which is up 47% from Q2 of last year and increased 38% from last quarter. For the 6-month period, the number of new customers in the DTC segment was up 165,500, which increased 37% from 120,700 new customers in the same year-ago period. The number of total customers in the DTC segment at the end of the second quarter was approximately 4.4 million, which was a 37% increase from the prior year. These changes in customer base metrics were primarily due to the acquisitions of SGI, Pinehurst and AMS, which were not included in the same year-ago period as well as organic growth from our JMB customer base. Finally, the number of secured loans at the end of December totaled 355, a decrease of 31% from December 31, 2024, and a decrease of 16% from the end of September. The dollar value of our loan portfolio as of December 31, 2025, totaled $120.4 million, an increase of 22% from December 31, 2024, and an increase of 16% from September 30, 2025. That concludes my prepared remarks. I'll now turn it back over to Greg for closing remarks. Greg?
Gregory Roberts: Thanks, Thor and Cary. With Tether's strategic investment in Gold.com and our expanded portfolio of category-leading brands, we believe Gold.com is well positioned to capture growth across multiple channels and to deliver long-term value for our shareholders. Our strategic focus remains on integrating and realizing cost savings and the synergies from our recent acquisitions, expanding both our domestic and geographic reach as well as further diversifying our customer base. We are pleased with our recent accomplishments and remain committed to exploring additional opportunities to deliver value to our shareholders over the long term. This concludes my remarks. Operator, we can now open the line for questions.
Operator: [Operator Instructions] And the first question today is coming from Thomas Forte from Maxim Group.
Thomas Forte: Great. First off, Greg, congratulations, especially on the announcement of Tether. I'm going to ask both my questions at the same time. So the big difference between this quarter and quarter-to-date, in recent quarters, is that silver is starting to run. So I was hoping that you could compare and contrast the performance of gold and silver in the December quarter? And then the second question I had was, you invested in expanding your facility in Las Vegas. And then you also have the Dallas facility, which I think you got with the JMB acquisition, with the Tether investment, how should we think about your capacity and if you need to further expand your fulfillment center and logistics efforts?
Gregory Roberts: Yes. So we have expanded in Vegas, and I'm happy to say that we really tested the ceiling on Vegas in January. We were excited and over 120,000 packages in January alone and a similar number, not quite that high, in December. So the facility is operating and it's built to do more, but it was great to test the limits over the last couple of months. I think that we're ready to do more. One of the challenges right now is this uptick and this swing up in volume really happened very quickly. November was a very slow month for us for whatever reason and then things started to pick up in December. But really, it was craziness through the last 3 weeks of December and then into January, and we did need at that point to hire some more actual humans. Even though we have been using and testing our automation, we did need more actual employees. So the fact that we were able to scale up and get the packages we did out in January is a real testament to everything Thor and Brian have been doing there and to see it all work was very exciting for us. As it relates to Tether and what we're going to do for them, I mean, it's no surprise that they are the -- what I believe to be the largest holder of gold in the world outside of central banks, and they need to store that metal. And the conversations we've had and within our press release, storage is a big component for us to assist with, and time will tell if we need to build another facility or expand the facilities we have. But these guys have a lot of gold and that gold takes up a lot of space. So we're hoping to be able to help them with storage solutions.
Thomas Forte: And then the gold versus silver performance in the December quarter?
Gregory Roberts: Yes. I mean, I think we talked a little bit about it in Q1 and probably a little bit in last fiscal year. We had seen -- throughout the slower times that we were dealing with earlier in 2025, we saw a much higher gold ratio to silver at the DTC brands. What we've seen in the last, let's call it, 8 weeks, is a shift back to silver. And I would say silver could be either side of 50% right now as it relates to total volume. And as we expect and what we have seen in the past is when you get that increased demand, you're going to see premiums go up. And anybody that's on the call, and I know there's many of you that track the premiums at JM Bullion, the premiums are significantly higher for 1 ounce silver products than they were 3 months ago. So the demand has -- the demand in silver is, as we've always talked about, silver is good to us, and volatility is good, and we've seen a lot of that. So silver is our friend.
Operator: Mike Baker from D.A. Davidson.
Michael Baker: Great. So yes, everyone has seen the craziness -- and I guess, your words, craziness in silver pricing and gold pricing and volatility the last couple of months or so, you seem to indicate that -- well, you said that premiums are wider now in the current quarter than they were for at least the beginning of last quarter. Remind us how that impacts profitability? I know you don't give any kind of guidance or anything along those lines. But how should we think about the impact of profitability from widening spreads in the March quarter versus December quarter?
Gregory Roberts: You should probably think about that we're going to have a really good quarter this quarter.
Michael Baker: Fair enough. Okay. A couple more questions since that was such a quick answer. In the past, and you even alluded to it, I think, in the press release, at times when pricing was really high, there's been a situation where you've been more of a buyer than a seller as people sort of proverbially empty out their closet and sell you back, the gold or silver that they might have in store and that hurts you guys in -- or your profitability. It seems like -- is that what you're referring to in terms of the trading losses in the December quarter? And how does that play out in the March quarter?
Gregory Roberts: No, I think they're two separate issues. I think that when we're talking about trading headwinds, we're talking about backwardation specifically. And as we've talked about before, this -- Gold.com has historically enjoyed a short position in silver and gold that hedges our position. And with that trade comes contango income and it gets carried in our interest income. And when you have backwardation, that turns into an expense -- an interest expense. So we -- with everything that's been going on, particularly in silver and the tightness of the market at an institutional level and our being net short in backwardation, it created a significant expense in Q2 versus Q2 of 2024. So I think that answers that question. As it relates to the buybacks, buybacks are great when your demand is increasing. And you have a significant increase in demand, which is what we're seeing here in December and what we're seeing in this quarter, and at that point, when product actually starts to become scarce on the silver side, and we have seen a tightening of supply across the silver market, having those buybacks is actually helping us. And the majority of the buybacks coming in today are going to our own DTC platform. So they're being sold off as opposed to maybe last quarter, a lot of the buybacks were going out into the wholesale market. So when we actually need them and premiums are up and we can resell 100% of what we're buying back at a retail level, it's going to improve our performance.
Michael Baker: Yes. That makes perfect sense. If I could ask one more, just help with, where and how does the Tether acquisition -- where does that show up in the P&L going forward, or the Tether investment, I should say, in terms of storage, how does that impact your profitability? Remind us how big that business is for you guys in terms of profits and what that deal could do for that line item?
Gregory Roberts: Well, I think if you look at the fact that we're bringing in $150 million of fresh money as well as a gold lease, which will provide more liquidity for us, my anticipation is that you're going to see a significant drop in our interest expense and our dollar borrowings. If you look at our dollar borrowings, we're paying 6% to 7% for our dollar lines. The less we can be reliant right now on those dollar lines and the more we can utilize gold leases for liquidity, which are at a much lower rate, we're going to see an immediate impact. So it's a very good thing. If you just throw everything else out, and you just take the interest expense benefits we're going to see from this transaction, it's a significant amount of money.
Operator: The next question will be from Craig Irwin from ROTH Capital.
Craig Irwin: So Greg, over the last number of weeks, a few of your smaller private competitors have talked publicly about challenges, keeping some of their most popular SKUs in inventory. And I know you deal with more than 12,000 SKUs, but can you maybe comment on your ability to keep products and inventory as we're seeing this surge in demand? And if you do touch on the captive mint capacity, can you maybe talk a little bit about your combined monthly production capacity in ounces?
Gregory Roberts: Yes. I mean I don't have the exact numbers in front of me, but I can tell you that having our balance sheet and having two mints available to us is going to allow us to sell more products than our competitors and there's nobody really even close. Probably mid-summer last year, we had production at the Silver Towne Mint in the 200,000 ounces a week rate for silver, small silver products. We anticipate we're going to sell -- we're going to manufacture over 800,000 ounces this week. So demand creates supply and we have an option on supply. So having these mints is very important. Now that doesn't mean we're not going to run out of Silver Eagles at our platforms because Silver Eagles are on allocation, and there's only so many being minted right now. But when Silver Eagles do go on allocation and become scarce, customers tend to buy our other private mint products. So there's a direct correlation, and I believe that although we're not trying to maintain 12,000 SKUs right now, we're trying to maintain a core group of SKUs that everybody wants that we can deliver. We have still faced some of the challenges that our competitors have in a small scale, just on delayed delivery. So we do have a little bit higher percentage right now of what we call preorders that are customers committing and paying for product, knowing that -- we disclosed to them, there will be a slight delay in delivery. So we're balancing through that. But I do believe we're taking market share right now. And I do believe -- I've always believed we're better than everybody else.
Craig Irwin: Excellent. Excellent. So then I wanted to ask about the throughput capacity at AMGL. So yesterday, I visited the facility with Steve Reiner. And the last time I had visited that facility, you had actually just hit about 100,000 packages in 1 month, which is just a mind-blowing number. And now the level of automation in that facility is something that is kind of like night and day as far as how well organized and how precise everything Brian has the whole facility running. With the roughly 25% to 30% capacity increases as far as throughput, you still have a number of initiatives that you're in the process of implementing there that will improve efficiency further. Can you maybe talk about what your goal is as far as monthly throughput or what your aspirations are? And then what would it take you -- what would it take for you to put a similar logistics facility in Europe or in Asia to capture on the local production, local shipment synergies that come from what you've developed in Las Vegas?
Gregory Roberts: Yes. Like I said earlier on this call, we were in excess of 120,000 packages in December. I would anticipate that we'll be in the 275,000 range for December and January. And I think that those are going to be likely our two busiest months. We still have automation that is coming online. We're still improving software and APIs and the ability for customers to direct shipments more efficiently. And I think there's room to grow in that facility. I would think that within a few months or 6 months when everything is -- that we have planned for is online, we should be easily able to ship 150,000 packages a month, which would be a phenomenal number and would be a very impressive accomplishment. As it relates to other facilities, as you can probably imagine walking through this place, it's a very large capital commitment which we made and we committed to, and we continue to expand even when things were slow. So we're hoping we're going to benefit from that gamble and benefit from the rewards of being committed to that facility. But to stand up another facility like it in Europe or somewhere else, pretty big capital commitment and a pretty big -- it's a pretty big project. And at the moment, I just don't see outside of the U.S., a real need for small package delivery at these quantities. It is somewhat -- although we do ship from Vegas to all parts of the world, I don't know that at the moment, we would need to tie up inventory and tie up capital in a facility this size outside of the U.S.
Craig Irwin: Understood. That makes a lot of sense. And then if I could just slip in another question. So sometimes GAAP EPS and the onetime items in GAAP EPS ends up being important. And I think that might be the case this quarter. Your noncontrolling items in the second quarter of negative $1.892 million, it's a deviation from what's generally been a positive contribution over the last several quarters. Was there anything specific at one of your equity investments that you can possibly call out for us so that we can understand this impact on GAAP earnings and whether or not this is transitory or something that can repeat?
Gregory Roberts: Well, probably the key issue that we dealt with in this quarter was Sunshine Mint, which we do have a minority interest in. They shut down their facility in Idaho and consolidated everything in Las Vegas. And the timing of that may not have been perfect because they consciously did it when they were slowing down and then things picked up. So there's been a little bit of a whipsaw there for them. But I think that, that's probably the area that I would expect where these numbers are coming from. I consider it an anomaly. I think Sunshine is having a very good start to this quarter. A lot of it also has to do with demand at the U.S. Mint. And because Sunshine makes blanks for the U.S. Mint, and that is one of their key businesses, and they're geared for that and relying on that customer. When the U.S. Mint slows down, they're going to have some negative results. But I do believe that we've got a little -- we've got most of that behind us and they're looking better this quarter.
Craig Irwin: Congratulations on this nice big investment.
Operator: [Operator Instructions] The next question is coming from Sy Jacobs from Jacobs Asset Management.
Seymour Jacobs: So I appreciate the rare and really bullish forward-looking statement in response to the first questioner about the swing [ up ] in margins. So my question would be really easy because I'm asking for a historical number, which was about -- when you talk about how the sort of prolonged and protracted and atypical backwardation in the silver market caused hedge losses but that has now moved back at least to a slight contango, can you quantify in dollars either for the -- either the second quarter or the past year or whatever time period you want to be just to give us a sense for how much the backwardation actually cost? And once it goes back to contango, does that swing from a negative number to a positive number?
Gregory Roberts: Yes. I mean I think it's a little -- it's a great question. And the numbers are a little bit masked because they get blended with other interest expense or interest income and they're spread out a little bit. But I think a fair comparison, if you were going to compare October, November, December, in calendar 2024 versus the quarter we're talking about right now, I think we probably swung -- just roughly, I bet we swung from about a $6 million gain from contango in December of '24 to a $5 million or $6 million loss in Q2 of calendar '25. So it's about a -- year-over-year, same quarter, it was a $10 -- probably a $10 million to $12 million swing. So obviously, that's pretty material and it's extremely material when we're slow. And to have that swing back to -- I mean, it's not back to where the contango was in '24 but at this point, we were just happy to see it's swinging back towards a positive. So we're hoping that, that continues. But when you have this kind of volatility in silver, and we've had two kind of black swan events in the last 1.5 weeks where silver was down $20 in one session and then it was up $10 and it was back down $10 in the last 24 hours. The silver market is very volatile right now. And the lending of silver, which is critical to us, which is silver leasing at these higher numbers, it can be a big deal. And to be quite honest, silver at $100 and gold at $5,000, as we've talked about before, it causes us a significant increase in the amount of dollars we need to manage those positions. To this point, we have been successful and we've been able to move capital around and we've been able to manage through these numbers, but it is a bit of a stress when the numbers are this big, which, to be quite honest, this relationship with Tether and what we're going to benefit with them from the investment and the gold lease, it's going to really give us a lot more liquidity and be prepared in the event gold goes to $7,000 or silver goes to $150. I'm not saying that's going to happen. But in my world, you really have to be prepared for anything because every morning, you wake up, not knowing which direction it's going right now. So I think the strategic investment from Tether was important in this area also.
Seymour Jacobs: And then one follow-up question. You've talked about the Tether agreement helping in one area in that they're going to be -- become a storage customer; in another area, the $150 million of equity capital and $100 million of lines, which will replace other expensive lines. Are there any -- what are some of the other commercial opportunities here? It strikes me that they're a buyer and inevitably seller, at times, of gold to back their stablecoin. Is Gold.com in a position to be their agents, broker, dealer in any way that's going to help your volumes?
Gregory Roberts: I see a lot of opportunity in areas that you can imagine we can help them with or they can help us with. I think that the beauty of this relationship is from every discussion I've had with them, it's been a real two-way street. I think there's things they can help us with. I think there's things we can help them with. They're a huge, huge company, as everybody knows, this business and the size of the gold, the size of the treasuries and just the performance of Tether that's been published out there, I'm very excited about this relationship. And I do think there's a number of opportunities that have been discussed, but not yet formalized that I think will be very beneficial for Gold.com as well as for Tether.
Operator: The next question is coming from Greg Gibas from Northland Securities.
Gregory Gibas: Congrats on the Tether announcement. And I wanted to kind of follow up on that strategic investment by Tether. Wondering where you see that relationship going forward? Do you see it expanding further by chance?
Gregory Roberts: Yes. I mean, I think we put out in the press release that we believe the gold leasing, storage and utilizing the Tether stablecoins as a currency on our retail platforms is a great opportunity. We've previously announced a Gold.com credit card that we're developing. I think there may be some opportunity there with Tether. And I think that we have been trading gold for 40 years. And I think that Tether will be looking for opportunities where they can expand their business and they can grow what they're doing. And I think they identified Gold.com -- when they approached us, I think they identified us as a great partner that there's plenty of opportunity, and I agree with that.
Gregory Gibas: Got it. That's helpful. And wondering if you could kind of speak to or elaborate on your mint production volume, all the investments there and the ability to ramp that up. How kind of that's positioned to meet demand and what we're seeing in terms of the increase in demand for silver?
Gregory Roberts: Yes. I mean, it's a feast or famine business, the silver minting business. We intentionally, and we had -- it was necessary for us back in July and August and September that we had to really pull back. We had to cut some costs. We had to unfortunately let some people go. And we got down to really barely utilizing 1 shift a day. In the past, we've been 3 shifts a day at Silver Towne 24/7. You can imagine in today's labor market, it just is a little bit tougher to snap on and off talent that you need that has any experience in minting 1 ounce silver around. So I think we -- Jamie Meadows, who runs Silver Towne Mint, has done a fantastic job. He's ramped up very quickly. I think our liquidity and our ability to provide feedstock to the Silver Towne Mint has been exceptional, and I think we're getting him enough silver to make. But there are a lot of factors in what that top line number comes out to. I think it depends a bit on whether or not this demand we're seeing right now continues. Again, I said it. We're going to -- we should be having a very good quarter this quarter, but we're only 35 days into it. And we've seen before where these bull markets or these hot markets can turn very quickly. So I think we're careful and we're being very cautious as we ramp back up at Silver Towne and Sunshine but I think there was a week a year, 1.5 years ago where they turned out 1.3 million ounces in a week, and I think that was kind of the peak. So we're not there yet, and we're trying to get back to 900,000. But as you can imagine, it's going from 200,000 or 250,000 a week to even just 900,000, there's a lot of juggling.
Operator: And we have a follow-up coming from Thomas Forte from Maxim Group.
Thomas Forte: Sure. So Greg, I'm going to control myself and limit myself to one statement and one follow-on question. So having had more time to think about this as the call has progressed, I think the strategic partnership with Tether is the most significant announcement in the history of the company. And then my question is, does working with Tether change your strategic M&A efforts, including your ability to engage in larger transactions?
Gregory Roberts: It doesn't change a thing, and I think it gives us the opportunity to grow the company with bigger transactions, yes. And I think that from my conversations with Tether, they're very supportive of carefully and cautiously and continuing to grow Gold.com in the physical gold markets. And I think they're going to be great partners for that. But you can just look at our top line numbers for Q2 and the amount of metal and the amount of top line volume that we're moving through. I mean this is -- these are big numbers. And I think having somebody that is the size of Tether and some of the great ideas that Tether has, what they're going to be doing with their business going forward and the -- their very, very large customer base, and I think it's going to back up and we will continue with the plan that we've had since the day I met you.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Roberts for his closing remarks.
Gregory Roberts: Thanks, everybody. As Tom Forte just said, we view this as a really big day in our evolution and where we started and where we're going with Gold.com. Continued as every quarter, I thank you for the loyalty for our shareholders for being with us and letting us invest your money and put it to good use. Thank you for joining the call today. Continuing, as always, to thank many of -- all of our employees and the many contributions they make to getting us to where we are right now and the commitment to our success. And we see exciting times moving forward, and we look forward to updating you on our progress. So thank you very much.
Operator: Thank you. Before we conclude today's call, I would like to provide Gold.com's safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During today's call, there are forward-looking statements made regarding future events. Statements that relate to Gold.com's future plans, objectives, expectations, performance, events and the like are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities Exchange Act of 1934. These include statements regarding expectations with respect to future profitability and growth, international expansion, operational enhancements and the amount of timing of any future dividends. Future events, risks and uncertainties, individually or in the aggregate, could cause actual results to differ materially from those expressed or implied in these statements. These include the following: with respect to the proposed transactions with Spectrum Group International, the failure of the parties to agree on definitive transaction documents, the failure of the parties to complete the contemplated transactions within the current expected time line or at all, the failure to obtain necessary third-party consents or approvals and greater-than-anticipated costs incurred to consummate the transactions. Other factors that could cause actual results to differ include the failure to execute the company's growth strategy, including the inability to identify suitable or available acquisition or investment opportunities; greater-than-anticipated costs incurred to execute the strategy; government regulations that might impede growth, particularly in Asia; the inability to successfully integrate recently acquired businesses; changes in the current international political climate, which historically has favorably contributed to demand and volatility in the precious metals market, but also has posed certain risks and uncertainties for the company, particularly in recent periods; potential adverse effects of the current problems in the national and global supply chains; increased competition for the company's higher-margin services, which could depress pricing; the failure of the company's business model -- business model to respond to changes in the market environment as anticipated; changes in consumer demand and preferences for precious metals products generally; potential negative effects that inflationary pressure may have on our business; the inability of the company to expand capacity at Silver Towne Mint; the failure of our investee companies to maintain or address the preferences of their customer bases; general risks of doing business in the commodity markets and the strategic business, economic, financial, political and governmental risks and other risk factors described in the company's public filings with the Securities and Exchange Commission. The company undertakes no obligation to publicly update or revise any forward-looking statements. Listeners are cautioned not to place undue reliance on these forward-looking statements. Finally, I would like to remind everyone that a recording of today's call will be available for replay via a link in the Investors section of the company's website. Thank you for joining us today for Gold.com's earnings call. You may now disconnect.